Operator: Welcome to the Wynn Resorts Limited fourth quarter 2008 earnings conference call. Joining the call on behalf of the company today are Steve Wynn, Marc Shorr, John Strzemp, Matt Maddox, Andrew Pascal, President of Wynn Las Vegas, David Sisk, CFO of Wynn Las Vegas and on the phone Ian Coughlan, President of Wynn Macau and Scott Petersen, CFO of Wynn Macau. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer session. (Operator Instructions) Now, I would like to turn the call over to Mr. Maddox.
Matt Maddox : I just want to remind everyone that we will be making forward-looking statements under the Safe Harbor of federal securities law and those statements may or may not come true. With that, I’m going to turn the call over to Steve Wynn for commentary.
Stephen A. Wynn : I think that most everybody has been hearing from various companies up and down the strip and there’s no good news. Business is tough in Las Vegas, I don’t want to be the bad news bearer but speaking for our own company we’re in the mood of protecting our culture, protecting our employees and seeing this thing through but it’s not a very good time to make money. The only good news is that I see is that we’ve got $5 billion worth of asset in Las Vegas but we only own $2.8 million against it so we’re underleveraged and we have a strong balance sheet. But, I’m not nearly satisfied with the kind of money that is available for us to make as a profit. I think that this is a period in which we’re going to have to adjust to the fact that you’re basically conducting a holding action and hoping that your capital structure allows you to do it. But, people with money that stay at a hotel like ours are being very careful if they have money. It may be one of the reasons why some of the lower end places perform a little better, the slot joints than a high end place like Wynn or Encore. So, I’ll answer questions but I think you remember we did have a conference call early in February in which I explained that we had made a decision for December and January to leave ourselves at high staffing levels first of all in December because we were anticipating the transfer of so many employees over to Encore we were carrying extra help in December and that inflated our expenses which exacerbated the lower earnings and EBITDA line along with the low hold percentage. So, we had two things going in the fourth quarter and we left the business in that mode for the opening in January and we kept the hotels in Las Vegas at that level through the Chinese New Year, the first week in February and made rather dramatic changes in our operating expenses and our staffing levels during the first quarter which I think will be somewhat beneficial when we review the first quarter in the spring. But, I won’t go any further with that accept to say the business levels in Las Vegas are punky and weak, is the only word to use. Andrew Pascal who runs Wynn Encore is sitting here, maybe he’ll share his overview about this with you and I think it’s probably a good idea Andrew, why don’t you.
Andrew Pascal : Let me talk about a few things. Recognizing how we had a softening market in the latter part of last year we were focused on opening Encore but we could see and feel that the clientele is very definitely shifting. So, we changed our strategy in December, we got far more aggressive in terms of our rates looking to drive occupancy, that was our first focus and we learned a lot about how to fill up a complex with 4,750 rooms as we talked about in February.
Stephen A. Wynn : We also learned a lot about how not to fill up the complex.
Andrew Pascal : That’s very true. There were a lot of things that we did that were worthwhile and there are customers that we’d love to have back and there were some things that we did that didn’t translate to any kind of profit contribution. We’re refining how we fill our hotels and we’re focusing on then the cost structure. How are we going to make money with the people who are now coming in understanding that it is a very different mix of clientele. So, we announced that in February we had anywhere from $75 to $100 million in cost savings that we were looking to achieve. With the measures we have taken the last two weeks we are currently pacing at picking up $250,000 a day so that gets us on pace so we think that gives us more room. We’re working every aspect of our business model trying to optimize revenue and lean out our expenses.
Stephen A. Wynn : Business in China is far more optimistic scenario even thought the economy in China has been touched as all countries have by what’s going on in the world today. Our businesses, EBITDA is off by 10% to 12% over there but that’s on a very big number to begin with and I’m happy to say that we’re very comfortable. Ian and Scott are on the phone. Ian, nice to talk to you. Scott, if you or Ian would like to say something I think you stayed up late for this call, why don’t you go ahead.
Ian Coughlan : Given the general economic climate we’ve had a satisfactory start to the year. We’ve had decent volumes particularly at weekends and over the two holiday periods that we experienced in January and February. Our table game to market share is positive, it’s over 17%. We’ve had some success stories in our slot program which is ahead of last year, retail is ahead of last year so it isn’t all doom and gloom. We’re also about to roll out a cost efficiency program similar to Wynn Las Vegas which would definitely impact our bottom line in a positive way for the remainder of the year. So, it isn’t like Vegas at this point and we’re cautiously optimistic for the first quarter.
Stephen A. Wynn : Scott, do you want to add anything to that?
Scott Petersen : No, to summarize it up some people have commented on our margins being down a little bit but the mix of business has shifted a little bit but we’re pretty happy with the way things are working out so far.
Stephen A. Wynn : For those of you who are on the conference call, our competitors as well as our investors, we’ll take your questions.
Operator: (Operator Instructions) Your first question comes from Joseph Greff – J. P. Morgan.
Joseph Greff – J. P. Morgan: Steve I just want to make sure I heard you right, you said EBITDA is down 10% to 12% in Macau. Is that any one particular segment that is down more than another segment or can you sort of amplify that comment please?
Stephen A. Wynn : I misspoke. Year-to-date this year it’s down 4%.
Joseph Greff – J. P. Morgan: Then looking back at the fourth quarter, promotional allowances as a percentage of revenues was a bit higher than the year ago level. Can you talk about that a little bit?
Stephen A. Wynn : Sure. We’re digging deeper, we go chasing the customers a little bit trying to get them to come back. It’s counter intuitive for them to come to resorts when their businesses and the television is negative and so we press them a little and since the FIT business was off a little bit we looked to fill the hotel with people we knew that spent money and we gave them special consideration. It’s a typical thing you try harder when business softens. Sometimes it works, sometimes it doesn’t. But, that’s the reason Joe that you saw the comps go up.
Joseph Greff – J. P. Morgan: A bigger picture question and maybe Andrew can chime in, I guess what’s the City of Las Vegas doing to I guess position itself as not the boom daggle market that legitimate conventions can go there and not necessarily be fearful that they’re doing something wrong. Obviously, we’ve had some high profile conventions move out of Las Vegas.
Stephen A. Wynn : The President Obama in what amounted to a slip of the tongue I imagine, just a conversational nuance said that he doesn’t think that people who have received benefits from the government should be going on junkets to expensive places or Las Vegas. He used Las Vegas as a metaphor for wasteful spending in effect which stigmatized the convention business that could come to Las Vegas. I’m sure the President didn’t mean to stigmatize the convention and meeting business of Las Vegas when it was conducted by companies that weren’t on the government dole. But, the effect that it had was for example one particular convention we had currently was $5 billion worth of business, this company was as far away from needing help from Uncle Sam as you can get but the Chairman of that company decided that he wanted to avoid any appearance of profligacy so he canceled the $5 billion worth of business in hotel and paid a $3.3 million, $5 billion worth of business and paid a $3.3 million forfeiture. Now, we’re not happy with the $3.3, we’d rather of had the people and the $5 billion. But, it was a direct result of the comment made by the administration, by the President. However, unharmful the President’s intentions were, it just gives you an idea of how sensitive the public is and how sensitive businessmen are. There is a feeling of pound of flesh against business that’s come out of the current administration early. There’s an exact a pound of flesh mentality that we’re seeing in the new administration that I hope is misleading as we go forward. But, it’s caused us some trouble here and we have hundreds of thousands of employees in this industry, more than the automobile industry and I hope that Uncle Sam recognizes that and that the rhetoric that is used is more considerate in the future because it has been demonstrated to us that it can have unintended consequences.
Matt Maddox : Just to clarify, Wynn Macau EBITDA was down 5% in the fourth quarter. That was the number we were referring to.
Stephen A. Wynn : I made a mistake, I was reading the wrong number.
Operator: Your next question comes from Steven Kent – Goldman Sachs.
Steven Kent – Goldman Sachs: Just a couple of things one, Ian did you say you were going to start to roll out cost savings in Macau and maybe you could give just a little bit more detail on that? I thought that was a little bit different than what you said even a couple of weeks ago. It didn’t sound like you felt like you needed to do that a few weeks ago. Then Steve, maybe you could talk about you’re clearly the market leader and best property and can you talk about what you’re trying to do in setting Las Vegas room rates even as late as February, as the past few weeks? I noticed that occupancy was much lower in the fourth quarter, is that part of the program? Is that one of the mistakes, I think you mentioned that you learned something over the fourth quarter, is that one of the things that you want to try and rectify? Maybe just talk about rate versus occupancy?
Stephen A. Wynn : Steve, I think Andrew is perfectly focused on this and I think he can clear this up. As far as the question you ask Ian, I just came home this past week. Ian unfortunately had a family sadness but what we did in Macau was to reexamine a bunch of things that didn’t impact our culture or our employees in any way. We did no layoffs we did not change work hours, we didn’t need to do that but we just found ways of saving $40 or $45 million based on things that we learned in Las Vegas. So, if our EBITDA was going to be off by X we were able to mitigate it by point something X by saving the $40 odd million.
Steven Kent – Goldman Sachs: Is that a run rate Steve or a start?
Stephen A. Wynn : That’s a run rate. Andy, I think that’s an interesting question, why don’t you answer that about room rates.
Andrew Pascal : I think the key lesson that we learned in the fourth quarter is that we can’t hold our room rate for a long time. It’s always been our philosophy to kind of set the rates and to price our property at the top of the market. We’ve been able to command that rate in the past and we started to see occupancy suffer more dramatically in the latter part of the fourth quarter. So, where ADR for the quarter was only down 6%, overall occupancy was down about almost 15%. So as a result our RevPAR was down even more. So, we clearly said look we’ve got to make sure particularly in the face of opening up a new resort that we keep this place fully occupied, energized and alive and so we said we’re going to get more aggressive with our rates and we’re going to look to exploit new channels and try lots of new things, what we alluded to earlier. And so, that’s what we’ve been doing and learning a lot about okay which of those tactics were successful and going to drive occupancy with customers that are worth having and which ones are not. The key thing we learned was we couldn’t just continue to hold to a rate premium that was fairly significant relative to the rest of the market. We needed to get more aggressive and we have.
Operator: Your next question comes from William Lerner – Deutsche Bank Securities.
William Lerner – Deutsche Bank Securities: Two question, the first I think for Matt, when if at all do you think you’d be in a position to reverse those stepped up debt reserves if your collection experience has been better than your originally reserved for? Maybe it had something to do with the receivable seasoning? The, I have a follow up.
Matt Maddox : We examine that on a quarter-by-quarter basis and if you look at overall right now Las Vegas is over 50% reserved and Macau over 65% reserved. So, we actually did reverse a little bit in Macau because our reserves exceeded 80% in the quarter so we had to. Our collection experience has not changed materially in either area so we are going to continue to analysis it every quarter.
Stephen A. Wynn : We’re conservative, right. It’s reflected in our capital structure, it’s reflected in our attitude towards credit when the Chinese market and the American market was wobbly we did not want to become the bank of last resort to our customers. So, consistent with everything we’ve always done in the planning, design and operation of our businesses, on our capital structure we behaved exactly the same way with the credit reserves. Now, if we’ve over reserved we will have a much clearer picture of this as we go in to ’09 and then we’ll make the adjustment Bill as soon as we can. We have no choice in the matter, our auditors would make us do it. But, they were sympathetic to our sensitivity when the matter was raised by myself at the end of the last quarter and they said okay and in the third quarter as well. They said, “We don’t blame you Steve.” And I said O Mark and to John, “Look fellas let’s be really cautious here, we could get surprised. The world is in a spot that is unfamiliar to everybody and let’s take the high road and be safe.” Maybe we were too safe. That’s a nice position to be in but we’ll take a good look at it Bill in the first quarter.
William Lerner – Deutsche Bank Securities: Then a follow up I guess for Steve. Just in trying to analyze or estimate what might happen to your margins in Macau if these commission caps are put in place. Did you ever actually raise junket commissions? I know your collective junkets wanted you to of course.
Stephen A. Wynn : No, we didn’t. We were the only ones that didn’t. We don’t have to lower or do anything. We’re down there where the cap is, it’s our competitors that were higher. We never went up there with those guys, we didn’t have to which was nice. When you’ve got a better facility you don’t have to try as hard generally speaking and in Macau we’re very fortunate, we’re enjoying a favored position with our clients, with the customers, the repeat visitation to our property is extraordinarily high. In order to get anybody out of the Wynn Macau you’ve got to bribe them to get them out and that’s what our competitors try to do. It’s a policy that is not productive, trying to buy business when you’re already have narrower margins. It’s just a philosophy that back fires. So, we sat still let the other guys take their best shot and we managed to hold off any real assault on our businesses.
Operator: Your next question comes from Celeste Brown – Morgan Stanley.
Celeste Brown – Morgan Stanley: Matt, I was hoping you could comment on one, the potential tax implications if any for moving cash to the US from Macau? Then secondarily, or two I guess, can you continue to move cash and what would those tax implications be?
Matt Maddox : Celeste, if you look at our company and I’ve discussed this in the past, we’ve actually moved money back to the United States, in our press release you’ll see we have over $600 million at the parent company. Because we’re a development company we have had large net operating losses as well as we’ve paid a significant amount of foreign taxes so we have foreign tax credits and net operating losses that allow us to move our money between our subsidiaries fairly efficiently.
Celeste Brown – Morgan Stanley: Then can you continue to move cash back to the US? So, if you continue to generate cash at Macau and you need it in the US, can you continue to move it? Then, do you have enough tax credits that that would also be tax efficient?
Stephen A. Wynn : I want to jump in on that one Celeste. We will remain conservative, we have an Encore Macau scheduled for completion next year and we’re primarily interested in our investments in Macau so moving money is of secondary concern to us as opposed to concentrating on our investments in China. I don’t know if that answers your question Celeste but that’s what I want to tell you.
Celeste Brown – Morgan Stanley: But, I guess the question is Steve if you need to, I understand that focusing on China is very important but if you need to move it back to the US for whatever reason could you do that tax efficiently given how much you have already moved back?
Stephen A. Wynn : Well we’d have to examine all our relationships and the regulations in China at the time as far as taxes and other capital requirements that are built in to our concession agreement. I don’t think at this time that speculation of this kind is productive. I’m sorry but I think we’ve done the appropriate thing permitted by our concession agreement and current tax [inaudible] in the United States and as we go forward we’ll try and take advantage of whatever seems the right approach at the time.
Operator: Your next question comes from Lawrence Klatzkin – Jefferies & Co..
Lawrence Klatzkin – Jefferies & Co.: A couple of questions, one can you just talk about the luck hit in Vegas, I’m calculating after gaming taxes it will be about $33 million and hence you really were not that bad in Vegas as it seems?
Matt Maddox : If you normalize the hold percentage there’s another $33 million.
Lawrence Klatzkin – Jefferies & Co.: So you would have been over $60 million in Vegas if that was the case?
Matt Maddox : $61.
Stephen A. Wynn : Yes but you know not only were we a little unlucky if that’s the right term when the hold percentage is low but we believe that we are seeing changing patterns of behavior at the table. People are being more cautious. When they win they’re planning for shorter periods of time. A Blackjack player gets up or a Baccarat player gets up at the table, it jumps up and leaves if he’s a winner. When before they’d say, “Oh boy we’ve got the house’s money, let’s play longer.” That worked to our advantage. This mentality works to our disadvantage and I think tends to be a little bit of a depressant on the hold percentage as we go forward while this mentality is in play.
Lawrence Klatzkin – Jefferies & Co.: But still 15 is low in anyone’s book.
Stephen A. Wynn : Sure.
Lawrence Klatzkin – Jefferies & Co.: And the free cash Matt that you have right now that you’re not obligated towards Encore or Macau or whatever?
Matt Maddox : It’s around $1.3 billion. We have $1.6 billion on hand right now.
Lawrence Klatzkin – Jefferies & Co.: Then the last thing, Steve do the visa restrictions seem to be coming down? What are you seeing for that and also for this casino group forming? Do you think there’s better rules coming for Macau for you guys?
Stephen A. Wynn : Well, I had a lovely conversation with Stanley [Hold] that was fun. He explained that he believed it was time for the casino association to exist and that he would be obliged and graciously accept being the chairman for the first year. I shared with him my feeling that that was certainly appropriate and that we would support that and that we would be glad to be a part of any association. He also mentioned that everyone had agreed except for the Sands but that didn’t stop us from agreeing and the chief executive of the government thought it was the constructive thing to do. So, that’s that. As far as the visas go there’s been a slight relaxation on group visas. There’s some talk in the paper I might add, of some relaxation on individual visas from Guangdong province which is as you know the center of that, the capital of that is Guangzhou and that’s where we are. We’re really part, except for the fact that we’re SAR, Macau is part of Guangdong province and that’s a very powerful part of China financially. So, usually when things appear in the paper in China it usually signals a change. It has in the past because the government doesn’t let things leak there unless they’re considering it. Now, to say that just because it was the paper it was allowed to be there and is therefore a signal or a pre-signal of government action I think would be getting a little off of the mark. I think you have to wait in China to see what the central government or the provincial government decides. The Guangdong province government operates in perfect synchronicity with the central government in Beijing. So, we’ll see. But, it was in the paper.
Lawrence Klatzkin – Jefferies & Co.: Lawrence Ho actually said on this call this morning that before restrictions came on you could go once a week and he could see it where you could go everyday if you want which would be the best it has ever been for Macau.
Stephen A. Wynn : Who said that?
Lawrence Klatzkin – Jefferies & Co.: Lawrence Ho on his call this morning.
Stephen A. Wynn : He’s a young fellow and a smart guy and if I was Lawrence Ho I wouldn’t be predicting what the Chinese government is doing until they do it. That’s an American talking. I think that trying to give you guys rosie pictures and all that kind of jazz on these conference calls is a real disservice. I think what we ought to do is discuss what has been and be candid about what we think may be. As far as Wynn Resorts go we are guarded and concerned about the weakness in the Las Vegas market. We feel less concerned about China at the moment but, if anything we’ve learned that things have a way of taking negative turns rather quickly in the world today and I think we ought to be very conservative about what we say and more conservative about how we run the company.
Operator: Your next question comes from Susan Berliner – J. P. Morgan.
Susan Berliner – J. P. Morgan: Matt, I had a question for you, I was wondering if you could go over on the Las Vegas bank facility exactly where you ended on a leverage covenant? And, if you can also remind us what we should be including over the next year all the add backs?
Matt Maddox : Sure. From now through June on the leverage side, we actually deduct Encore project costs off of debt. So, net debt is only around $500 million on the leverage covenant until June 30th. June 30th what you do then is you annualize the first six months of EBITDA in ’09 against total debt. That ratio is I believe 8.25.
Susan Berliner – J. P. Morgan: And you ended the year at?
Matt Maddox : 7.75 in September and 7.5 at the end of the year.
Operator: Your next question comes from Dennis Forst – Keybanc Capital Markets.
Dennis Forst – Keybanc Capital Markets: I had a couple of questions, first on capital expenditures going forward. You’ve got to pay off another $200 million of Encore, finish up Macau Encore and maintenance cap ex, what kind of number is that going to add up to this year Matt?
Matt Maddox : As we put in, we have about $200 million to go, that was at 12/31. That number is already down to $120 million today on Encore at Wynn Las Vegas. Encore at Wynn Macau, the number is in the neighborhood of probably $200 to $240 million this year with the balance being in 2009. Maintenance cap ex is tending to run around $35 to $40 million at properties.
Dennis Forst – Keybanc Capital Markets: That’s $35 to $40 per property?
Matt Maddox : No, combined for 2009.
Dennis Forst – Keybanc Capital Markets: Really, $40 million for the three properties combined?
Matt Maddox : Because we just opened Encore and Wynn Las Vegas went through a significant amount of upgrades.
Stephen A. Wynn : And, we’re conserving cash.
Matt Maddox : And, we’re conserving cash.
Dennis Forst – Keybanc Capital Markets: On Encore, I think the numbers that you put in the back of the press release exclude anything from Encore, the win per slot, the number of tables and slots, etc., does that all exclude the nine or 10 days of Encore?
Matt Maddox : No, Encore is included in all these results. Because it was nine or 10 days it was not that material to the earnings but we look at Las Vegas as one property, 4,700 rooms and that’s how we’re going to report the results.
Dennis Forst – Keybanc Capital Markets: The number of tables and the numbers of slots and everything?
Stephen A. Wynn : We look at it as one property simply for financial reporting purposes but they’re operated as separate businesses and they are separate businesses.
Dennis Forst – Keybanc Capital Markets: But, the $281 average room rate is the combination of the two properties?
Stephen A. Wynn : Yes.
Matt Maddox : Yes, you’re right.
[Kim Sinatra]: The reason is because of the weighted average number of slots and tables Dennis looks pretty small because it’s just an extra 10 days in the grand scheme of the quarter.
Dennis Forst – Keybanc Capital Markets: How many tables and slots does Encore have so we’ll have it for the first quarter numbers?
Andrew Pascal : 98 table games and just over 800 slot machines.
Operator: Your next question comes from [Larry Haverty – Game Co.].
[Larry Haverty – Game Co.]: Steve, before the conference call there was a development with Northern Trust, they apparently sponsored a golf tournament and took a number of customers on planes out to the golf tournament and took them to a rock concert. 17 members of Congress have in fact protested. This little development that you talked about earlier in the call has potential right now to spread and I think if you look at financial services and autos you’re talking about close to 20% of the GDP that Congress is likely to start regulating their business behaviors, things like the Buick Open, stuff that you would do in the normal course of business. Clearly, you couldn’t have known about this but is it possible for people in the luxury business to be responsive to Congress and somehow stop what looks like burgeoning class warfare before thousands of people lose their jobs in this industry? This is a much bigger problem than just Las Vegas Steve.
Stephen A. Wynn : Did Northern Trust take money from the government?
[Larry Haverty – Game Co.]: Yes.
Stephen A. Wynn : Well, I think that Congress has a right to ask and Northern Trust has a responsibility to behave in a way when they’re on the government payroll or the government dole to do the kind of fiscal discipline that we’re doing with our own company here and we’re far away from being a government sponsored company. So, I don’t think that’s our problem. What I don’t want to have them do is characterize Las Vegas as wastrel or wasteful place that’s profligate no matter what reason you go there. When I told you about the business we lost, it was a company that was one of the healthiest companies in the United States of America, much more healthy than the government of the United States of America. That is disturbing to me when a chairman of such a company feels intimidated. If that’s that class warfare or as I mentioned earlier that capitalism needs to be punished, if that is part of the mentality of this administration we’re in for a worse time than we expected. President Obama got swept in to office on a wave of optimism about a better future. If we’re going to have increased welfare government we’re not going to create jobs and we’re not going to get out of this recession quickly. If we really have an intelligent, brilliant, sensitive government that understands how the country works and job creation is at the smaller business level. I mean, everybody is letting everybody go. I created 4,000 or 5,000 new jobs here, does that make us a bad guy? How many new jobs did Uncle Sam create? Zero. So, I’m saying to myself, look there are certain times when the rhetoric from Washington is appropriate and if Northern Trust is taking money then they don’t need to go to a golf tournament, not at this point in their career. I would have to agree with those Congressmen. On the other hand, if this kind of rhetoric is not every enlightened and very sophisticated it can lead to an unintended consequence like the cancellation of a wonderful company’s educational forum where they teach salesmen the new programs. They need to go somewhere to do that. Las Vegas was the cheapest place for them to go. It’s the greatest value for conventions and meetings in the United States of America. We consistently are the best value because we’ve got slot machines and crap tables we can afford to sell finer rooms for less money. We give better meeting facilities in terms of technology and in terms of the services available to the delegates. We serve the convention and meeting public the best of anyone in the United States of America. We’re more accessible in terms of our airport and for that to get torque or perverted because of political flap jaw or political speech would be unfortunate. So, let’s hope that the government grows up and does a good job and gets us out of trouble instead of putting is in a deeper hole than we’re in already.
Operator4: Your next question comes from David Katz – Oppenheimer & Co.
David Katz – Oppenheimer & Co.: I wanted to go back to I know that a number of weeks ago we had some discussion about cost cutting and there’s been some discussion about cost cutting on the call here but if you could just talk us through some of the contingency plans you have? I guess what I’m struggling with is things have gotten to a certain level and then we found ourselves very quickly 30 days later at some lower level and what’s possible in a pretty short amount of time I think has been difficult for us to keep up with. So, how are you thinking about the next level down if in fact there is one?
Stephen A. Wynn : You’re right about things changing quickly and hopefully that could go either way. But, we haven’t been there before. This is new territory for us and I’d love to be categorical or self assured but there are times when it’s very difficult to be self assured in an environment of such rapid change. Our political leadership is on the line. The direction that we get from Washington is going to be the most important thing in restoring consumer confidence. I don’t mean to go on, I will address your question technically but the political leadership from Washington was completely lacking in the first $350 or $400 billion they spent last year. So, that money went down the drain and didn’t produce the kind of result it was suppose to. Theoretically there was suppose to be some smart people on the job paying attention to this like the Secretary of Treasury and people like that, the former chairman of Goldman Sachs. You think well, they ought to know what to do. It got away from them a little bit and this last stimulus program that has come out of Washington is more of a welfare program than a real jobs creation program in spite of what the President says. Fixing bridges and roads are technically demanding jobs that require technical help, good drawings and substantial lead time. That may be a proper thing for us to do as Americans to fix the infrastructure but to think it’s a quick fix jobs program is a naïve and insincere and incorrect statement. So, when we see these kinds of things it doesn’t tend to reinforce our strength and our conviction that the government is going to come to the rescue really intelligently or efficiently. The government can issue regulations usually and if they properly enforce them they can get the private sector to behave in a predictable way but government running a jobs program leaves me completely unimpressed and I think that history will prove that to be true. As far as what we do at the next level, Andrew made contingency plans and we sit around and we say where can we save more money if we have to? But, we’re going to protect the culture here. We’re going to protect our employees our service levels so that we remain consistent in an inconsistent world. That’s a very valuable thing to do. It doesn’t have the best short term results but it has the very best long term results. I don’t think I want to discuss what we do when we go to the next level, we’re professionals we’ll react if we have to. But, I don’t want to be hypothetical about stuff we haven’t done yet.
Operator: Your next question comes from Robin Farley – UBS.
Robin Farley – UBS: I’ve got one Vegas question and one Macau question. On Vegas I wanted to ask about your occupancy strategy, you covered a lot of it I guess I just wanted to clarify that it sounds like your expectation or your strategy is to try and get occupancy back in to the 90% range in Q1? I’m just wondering if that’s the case even with the room inventory increase from Encore? Am I interpreting your comments correctly?
Stephen A. Wynn : My comments if I can summarize what Andrew and I have been pointing towards as this, in the fourth quarter and things we did for the first half of January showed us that occupancy in and of itself is not the answer. We need people in our beds, in our rooms that can afford our restaurants and our various other amenities. If we don’t have that then our non-casino revenue expectations per occupied room blow up and that’s no good. So, it isn’t enough to get to 97% occupancy. We can do that quick enough, we’ve got the best rooms all we’ve got to do is lower the price and Expedia and Travelocity and Hotel.com will jump up and down with glee and so will the wholesalers. But, we need to be still discriminating about the kind of people we put in our rooms. In some cases Robin it may be true that we’ll do better with 88% occupancy than we do with 93% depending on the quality of the person that’s in the room. In this type of facility, unless our restaurants are used, our show rooms and our higher limit tables, our model doesn’t work as well so we have to be constantly vigilant about the quality of our guests. I think that’s what Andrew was alluding to when we learned a lot with some of this stuff we tried in the fourth quarter, we filled the hotel and I was responsible for making him do it. I’m not sure he wanted to but I said, “Look what I don’t want to see is an unanimated opening for Encore. Fill it up regardless of the price.” I have retracted that statement. We’re past that point and we’re not hunting with a shot gun we’re hunting with a telescopic rifle.
Robin Farley – UBS: Also, just a question on Macau and this may not be good information but it sounded like there was some scaffolding, some construction on your prototype property and it may be an observation from someone that didn’t know exactly what property was yours but is there anything going on with your Cotai in Macau?
Stephen A. Wynn : Robin did you ask if there was anything going on in Cotai?
Robin Farley – UBS: Yes, it looks like there’s something going on, on your property but maybe it’s not as much as it looks.
Stephen A. Wynn : We put up a fence to define it and we built a warehouse because we’re putting our model rooms for Encore in there. That’s what’s going on there. It’s supporting what’s going on in the Peninsula Robin, that’s the activity you’re seeing.
Operator: Your next question comes from [David Hargrave – Sterne Agee].
[David Hargrave – Sterne Agee]: I wanted to find out if there’s any – I think a lot of folks lose sight of the fact that Vegas is such an important global destination and I’m wondering if there’s regions or patches of geographies that you haven’t reached out to a number of years that you’re renewing your efforts and focusing on?
Stephen A. Wynn : The answer to your first question, are there regions we haven’t explored, the answer is no. One thing you can pretty much count on is that the gaming industry in Nevada and elsewhere has beat the bushes. Now, having said that everybody is reexamining their data bases and going back and looking at the people who have been to our properties and our neighboring properties in the past and renewing our call and invitation to them to come enjoy the new and the latest developments in Las Vegas. I think that not only is Wynn Resort staff doing that but I’m sure MGM and the Sands and all the other fellows up in Harrahs up and down the strip are doing the same thing. So, yes they’re out there but there aren’t any places that have been untapped if that’s what you’re asking.
[David Hargrave – Sterne Agee]: In the beginning of the call you talked about some of the lower end properties you alluded to some of them performing better. Can you elaborate a little bit on what you’re seeing?
Stephen A. Wynn : I think that the regional slot places like the Riverboats are having less of an earnings decline than a high end strip hotel and I think here on the strip, I was talking to one of my buddies that runs a couple of places that you’d call middle or lower market operations on the strip primarily slot oriented and their earnings, their EBITDA erosion is less than our EBITDA erosion.
[David Hargrave – Sterne Agee]: In terms of what we’re seeing in terms of trends with table hold, is it to be expected now that sense perhaps you’ve got a different category or maybe the composition of visitation is changing, is it to be expected that the hold percentage might be a little bit lower going forward.
Stephen A. Wynn : In a word, yes.
Operator: Your next question comes from [Mike Surgass – Long Acre].
[Mike Surgass – Long Acre]: I was just wondering when you guys compute hold at 15% in that number are there any comp numbers in that hold percentage?
Stephen A. Wynn : No.
[Mike Surgass – Long Acre]: That’s just straight luck – for example, is there any forgiveness losses included in that such as a big casino?
Stephen A. Wynn : No.
Operator: There are no further questions at this time. Are there any closing remarks.
Stephen A. Wynn : No. Thank you everybody.
Operator: Thank you all for participating in today’s conference call. You may now disconnect.